Tom McMillan: Good day. My name Tom McMillan and I am the General Manager of Corporate Communications and Investor Relations for Black Diamond Group Limited. At this time, I would like to welcome participants to Black Diamond’s Results Conference Call for the Fourth Quarter of 2014 with President and Chief Executive Officer, Trevor Haynes and Executive Vice President and Chief Financial Officer, Mike Lambert. We’re also joined today by Troy Cleland, Executive Vice President and Chief Operating Officer of Black Diamond Structures and Steven Stein, President and Chief Operating Officer of Black Diamond Logistics. After our formal remarks, there will be a question-and-answer session. At this time, all lines have been placed on mute to prevent any background noise. Please note, that we’re talking about our results and answering question, Trevor and Mike, may make forward-looking statements. These statements are subject to known and unknown risks, and future results may differ materially. For more information, please review the forward-looking statements and risks and uncertainties sections of Black Diamond’s fourth quarter 2014 Management’s Discussion & Analysis, which, along with this quarter’s news release and our audited financial statements, can be downloaded from our Web site at www.blackdiamondgroup.com, as well as the SEDAR Web site. Dollar amounts discussed in today’s call are expressed in Canadian dollars, and are generally [rapid]. I’ll now turn the call over to Trevor Haynes to review the quarter. Trevor?
Trevor Haynes: Thanks, Tom and good morning. We delivered $28.1 million in EBITDA after a $3 million provision for, as yet unrecovered cost on the custom sale of accommodation buildings, and a project in the oil sands. If we normalize for this one-time provision, EBITDA for the quarter would have been $31 million. We also booked an $8 million write-down in our International business unit, relating to the goodwill and intangibles booked on the 2013 acquisition of Australian Portable Buildings. This reflects the significant downturn in business prospects due to the severe recession in resource development activity on the covenant. Therefore, in total, during the fourth quarter, we booked approximately $11 million in non-recurring accounting provisions and write-downs, which has resulted in a $3.6 million loss for the quarter or $0.09 per share. We have significantly reduced our capital plan from the announced $85 million to $50 million. Of which, $29 million was committed as of the year end. We anticipate only modest capital expenditure beyond Q1, which we believe will result in the Company generating free cash after interest, taxes, dividend and CapEx. Black Diamond's balance-sheet remains strong with a net debt to EBITDA ratio of 1.26 as at December 31, 2014. Evidently, we're facing a very difficult operating environment in all of our resource facing businesses as customers cut back on capital spending to protect their cash flow in reaction to weak commodity prices, which has resulted in lower development activity on existing projects and deferral of perspective projects. However, we have certain business segments that have been less affected, or not affected at all. In this regard, our BOXX Modular workspace solutions business in Western Canada has experienced only modest utilization reduction on a year-over-year basis. This is due in-part to the broader application, the construction, infrastructure and commercial industries within the resource sector, but also outside of it. BOXX Modular in Eastern Canada and the U.S. Gulf Coast, are growing, as these economic areas are expanding. This is where we're seeing some modest capital expenditure opportunities. Even within the workforce accommodation space, in western Canada, Black Diamond's concentration in this IT area of the oil sands and it's positioning on pipeline infrastructure projects is proving strategic and these areas are showing a degree of stability relative to other areas. EBITDA for the quarter was down $10 million from the same period a year ago. As you can see it from the waterfall chart on slide 4, much of this was related to our structures business units. In addition to the $3 million provision mentioned earlier, structure was impacted by lower utilization as a result of the significant decline in oil prices during the last half of 2014. Our utilization levels and structures’ workforce accommodation division, closely reflects what Black Diamond experienced during the global financial crisis, exiting 2014 with the utilization of 70%. Conversely, BOXX Modular is doing better than it did during the global financial crisis, and does not seeing as much downward pressure this time around, exiting 2014, with utilization in the 75% range. We expect these utilization ranges to be maintained during the first quarter of 2015. To provide a little more detail on the $3 million provision and structure, we incurred additional cost during the installation of a custom-build modular building in oil sands project after the project experience delays in completing essential elements of work. Completion of the project and final determination of cost will inform the amount of revenue to be recognized. We are unfortunately unable to provide any further details at this time. Our Logistics business saw year-over-year growth as the revenue mix shifted towards higher margin day rates. We expect the Logistics’ first quarter 2015 EBITDA to be only slightly lower than the first quarter of 2014. Our Energy Services business, EBITDA was down as a result of lower rates and lower utilization. We expect their Q1 run rate to be similar to Q4. International results were significantly lower than a year-ago due to a severe reduction in mining activity, resulting from the current downturn in commodity prices. We continue to repurpose some of our assets to service the gas drilling and pipeline construction market England and anticipate increased revenue in the later quarters of this year. Lower activity related cost in other areas of the business drove-down administrative expenses year-over-year. This is complemented by a formal cost reduction and efficiency improvement initiative underway across the Company. I will now ask Mike to review our financial results for the year.
Mike Lambert: Thanks Trevor. Year-over-year, EBITDA was relatively flat, or slightly up, as you exclude the provision we took in Structures. Higher EBITDA in Logistics was offset by lower year-over-year EBITDA in Structures, Energy Services, International and higher cost at the corporate level associated with increased year-over-year revenue. Now how the year unfolded, was that our first half had EBITDA well ahead of 2013. Q3 was slightly ahead and Q4 although. I'll now review our key financial metrics for the quarter. Black Diamond's profit and earnings per share were impacted by the $8.2 million write-down of goodwill and intangible assets in Australia during the fourth quarter. That said, we anticipate increased activity in Australia as the LNG export facilities ramp and subsequently drive increased natural gas drilling. Even though, cash flow from operating activities increased by 50%, year-over-year, during the quarter, distributable cash flow decreased by 31% due to changes in non-cash working capital. This combined with the two dividend increases we made within the 12 months prior to the fourth quarter of 2014, meant that our payout ratio was 41% for the quarter compared with 26% a year ago. Given the current run-rate of Black Diamond's business contract coverage and a diverse range of marketable assets, we are confident that Black Diamond will be able to meet all of its financial obligations, while continuing to pay our dividend. Our balance-sheet remains strong at a net debt to EBITDA ratio of 1.26. And with that, I'll now turn it back over to Trevor.
Trevor Haynes: Thanks Mike. Many of our oil and gas workforce accommodation customers would cast they were up for renewal had offered instead for short-term extensions, so that they can achieve greater flexibility given the uncertainty around future oil prices. This is reflected in the forward contracted revenue and structures, and elsewhere. Forward contracted revenue, at the end of the fourth quarter, was $130 million, this compares to $203 million in Q4 of 2013 and $146 million at the end of the third quarter of 2014. It is important to keep in mind that the forward contracted revenue does not provide an accurate forecast of forward utilization. We expect first quarter of 2015 EBITDA to be generally in line with the fourth quarter of 2014, reflecting an element of stability at these reduced utilization and operating levels in Western Canada. While we expect that the current difficult business environment will persist for some time, we do continue to see meaningful activity in our bid log. This includes numerous major project opportunities in our BOXX Modular business in both Canada and the U.S., a moderate amount of the camp opportunities in and around the oil and gas pipeline and electricity infrastructure and mining plays in Canada and a very large potential opportunity in West Coast LNG development and associated infrastructure build. If one of these projects would advance in 2015, it would offer a transitional level of activity for our industry in Western Canada. Regardless of new project activity levels, we will continue to look for ways to diversify our business, in terms of geographies, industries and assets. We will, and are taking prudent measures, to protect our balance-sheet and be stringent with spending. But remain ready to respond to our customers’ need and service level expectations. While this is a very difficult operating environment, the Company is diversion up its assets and markets covered, has the financial stability and flexibility, and has the commercial firepower, to not only survive but to compete for increased market share. We’ve also announced that, Dave Butler has advised that he will retire from our Board and not stand for reelection at the AGM in May. We thank Dave, for his many years of service to the Company as an Advisor, Director and Chairman. We are pleased to announce that Marshall McRae has been appointed to the Board. Marshall has served as our Interim Executive Vice President and CFO from late 2013 through 2014. He is a chartered accountant and a disguised financial executive and Calgary, who is also a member of other public company boards. We welcome Marshall, and look forward to his assistance in governing the Company in future. At this point, I thank you for listening. And I will pass the call back to Tom.
Tom McMillan: Thanks, Trevor. Before we turn to questions, I’d like to mention that we’ve been joined that Toby Labrie our Vice President, Finance and Structures, and also like to ask analysts and investors to limit themselves to no more than two question before re-queuing into the call, so we can reach everyone before the end of the call for their questions. Operator, I will turn it over to you to you to queue the questions.
Operator: Thank you. We will now take questions from the telephone lines (Operator Instructions). The first question is from Greg McLeish from GMP Securities. Please go ahead.
Greg McLeish: Just a couple of questions, the first one is on structures. When I take a look at the EBITDA, it was around 42% in the quarter. If we normalize that with the $3 million impact, I think that’s where it was. But if we normalize that, it’s sits under 50. Is that a good EBITDA margin run-rate or are you expecting -- how should we’d be sort of viewing that this year?
Mike Lambert: Greg, thanks for the questions it’s Mike Lambert. I think that’s a good way to look at it. We’ve been careful, actually, we’ve been careful to save it -- we’ve been careful not to give long-term guidance. As a matter of fact, you may have noticed, we’ve have backed off of annual guidance, but that -- we think that’s a good way to look at the run-rate for structure. And we’ve said that our run rate in the fourth quarter is what you should expect in the first quarter. Why we backed-off on giving total annual guidance, it’s just the uncertainty in the marketplace around oil prices and LNG. And so, we became little bit uncomfortable on providing guidance for the entire year. So, I think the way you’re looking at structure is the proper way.
Greg McLeish: I know that you didn’t give annual guidance. But it’s said in your report there that the Company remains confident with its core business and run-rate, it can satisfy all of its financial obligations and can continue to pay the dividend. So, as I looked at your financial obligations, is your dividend, your interest, your cash tax and your CapEx at $55 million that should give me probably a good annual run-rate on EBITDA.
Mike Lambert: It’s a good way to look at them. I’m glad you’re actually talking about that, that’s the way we look at it.
Operator: Thank you. The following question is from Jon Morrison from CIBC World Markets. Please go ahead.
Jon Morrison: Based on the contracts you have in hand and your customer conversations about extensions within the structures business. Can you give any sense of where you think utilization will shake out, on the installed base today, through 2015? And really it’s a loaded question, but.
Troy Cleland: It’s difficult as the year progresses to have the strong comfort in what that utilization would be. As Trevor alluded to, and his comments was is that what we do know is in Q1, that we’re remain consistent in that range as what our utilization was. But what we don’t know because some of these assets or some of these projects starts to go to a month-to-month, keeping in mind that there are major costs to dismantle and to return it. So they have to know that they are completely shutting down their operation before they shoot to return it. But we also -- it could happen rather quickly because of the way they’re rolling over into a month-to-month for some of these projects.
Jon Morrison: Can you talk about the pricing pressure you are seeing within that platform? And our customers expecting short-term contract extensions, but also material price drops, and get any sort of sense of magnitude for conversations that are going on right now?
Troy Cleland: Well some of our clients on the existing projects that we have, have handful of them have come back to us asking for the opportunity to work together as partners to work on reduced pricing in these environments with the understanding that, if and when the, market picks back up that will engage again on what those prices were prior to the downturn. For projects that we’re bidding on and require new capital, a rate of return and payback periods, we are seeing them consistent with what we have seen in the past. And the pressure would be kind of on those older assets and new projects that we have the complete new environment, that’s where we see the biggest pressure.
Jon Morrison: So the paybacks on new projects really haven’t deteriorated at this point in your view?
Trevor Haynes: The dollar of capital not yet put into assets. We would expect and we’re seeing market pricing this way that the paybacks would be consistent with historical investments. As Troy alludes to where we’re seeing most pricing pressure is where we’re competing for new projects with existing assets that are currently working where we do have assets on site the cost to dislocate and replace versus current rate is where we see some pricing leverage, if you will, which leads us more into a discussion with the customer versus a head-to-head competition on rates with our competitors.
Operator: Thank you. The follow question is from Kevin Lo from First Energy. Please go ahead.
Kevin Lo: Just one or two, briefly talk about the opportunity now in LNG and any commentary, you sounded very positive on it, and has there been any changes, or can you quantify how big the opportunity is for Black Diamond?
Trevor Haynes: The opportunity continues to be very sizable. If you look at one of the advanced projects, in terms of total beds required for pipeline construction and plant construction, the total numbers of beds, as we see the projects adjusting manpower and timelines, total beds may have come down slightly but we're still at a demand level that would require an additional Black Diamond platform to service just one of those projects, Black Diamond platform, in terms of the number of beds. So, looking anywhere from 9,000 to 14,000 beds, in aggregate, for one of those projects and that’s where it’s got a very transformative effect on our industry if one of those projects does go ahead. We likely don't know, any more than you do Kevin, in terms of what decisions will to made, although there’re certain people who’ve indicated June for a decision. And we're obviously very closely engaged in working out all of the various logistics and trying to come to a pricing scenario that satisfactory to the project. So, we believe it's a real opportunity. It's very difficult to work it into our forecast, because it makes such a dramatic difference to our business.
Kevin Lo: And my last question is just wondering whether there has been any shift, in terms of your strategy on either, the slide, the projects you guys are going after, or the locale, having obviously acknowledged the slowdown in oil sands. But are you guys broadening what normally considered, you would consider as your sweet spot?
Trevor Haynes: On the resource spacing part of our business, we have a difficult environment in that almost all commodities are in the trough of their cycle. So it’s certainly what we're seeing out of Australia where iron ore and coal, perhaps there is a little bit of gold related activity. And you see copper and gold, but nothing overly meaningful. So, in terms of shifting to other resource segments, that's a bit challenging. We are seeing resource infrastructure continuing to be reasonably active with pipe and midstream facilities. And there is also the potential for Site C dam for, for example, as a major infrastructure project. So, there are few of those around. But we are seeing activity through our BOXX Modular platform, where not accommodation assets but buildings required, for large project offices and support buildings on major build. We’re seeing a good deal of that type of activity along the U.S. Gulf Coast, both related to the refining complex but also more broadly with regard to infrastructure, such as large air port projects, et cetera. In Florida, for instance, where we're active and then also in the Eastern Canada, it's a very good question. I'll see if Troy and Steve want to add anything to that response?
Troy Cleland: In terms of diversification and oil and gas in Western Canada, we’ll always have an effect on that. But that is why we are continuing to grow out other parts of the BOXX Modular platform in the East, in U.S., that's the good thing. So I guess the downside would be is that the platform isn't as big, at this point in time, to completely offset what we're dealing with in Western Canada.
Mike Lambert: I think that Black Diamond has always been in a better situation than maybe our peer group and that we’ve constantly on site, the Northeast BC, and those are the two active areas or relative active areas in Canada right now, in Western Canada. So, we continue to work with those customers and a large focus is now BC right now, BC projects in Northeastern BC.
Operator: Thank you. The following question is from Greg Coleman from National Bank Financial. Please go ahead.
Greg Coleman: Just a quick one here, a lot of mine was already answered. But given the environment and the strength of your cash on balance-sheet, as you are talking with Greg earlier, how we can kind of back into impurity EBITDA suggestions based on kind of adding up your cash flow requirements? It looks like you are in pretty good shape on the balance-sheet side there and lot of your competitors are not. Is this a type of a environment where there will be anything attractive there for you on an M&A side? Or given the returns for older assets and maybe more troubled ones, you could still just to be sticking with kind of going for the new bids and the new projects?
Trevor Haynes: That’s a very leading question. There are certainly assets of our interest, so we’ve always watched the market very closely. Whether or not, this is a time to come to agreement on valuation, et cetera, I guess remains to be seen. What we do have more direct line of site on is managing our own assets and managing our opportunity set for putting capital to work where we have very low risk, whether that’d be coverage with a specific contract with a customer or in parts of the platform where we’ve got enough utilization to justify adding to work fleets modestly, which would be, our U.S. BOXX Modular platform, for example. And then we also have the ability to invest in existing assets to potentially reconfigure, as we’re doing in Australia, to address a need for more high mobility product, and perhaps an opportunity here in Canada as have projects to deploy, the asset on to reconfigure the 49 man higher density dorms into the currently demanded private washroom as is needed to suite the various union requirement. And so, that’s a lower dollar spend, if you will, to address where there is demand in the market.
Greg Coleman: So if I could rephrase, just to make sure I understand. It sounds like, the reinvestment internally and organic opportunities would have a better, both return and risk profile, than potentially on the M&A side?
Trevor Haynes: Well, that’s where we have line of site and we have control. Trying to answer the other part of your question is, theoretically this maybe a good time to acquire assets. But what we are able to focus our teams on is the internal organic growth and good asset management, that’s assets we are already own.
Operator: Thank you. The next question is from Jon Morrison from CIBC World Markets. Please go ahead.
Jon Morrison: Do you guys believe that workforce accommodation standards of living will change over the next one year to two years in Canada and ultimately that shifts your focus away from selling some of the more legacy higher density camps and possibly keeping on your fleet, because it’ll be in higher demand as the market changes over the new few years?
Trevor Haynes: We talked about retrofitting some of our existing dorms. There is an appetite for lower price dorms of course. But I don’t think that the work force, especially if any of these LNG lines go, they’re going to demand VIP title washroom dorms. So I don’t think.
Jon Morrison: Just digging around some oil sands, so do you think that these living -- standards of living will go down?
Troy Cleland: It would seem it would have to be a prolonged down-market trend for that to take place. If the customer moves as the existing camps that are in place in the oil sands which BMS way more than replacement with non-VIP dorms.
Trevor Haynes: There aren’t really many customer discussions where -- and trying to get cost efficiency, the move to high density, is part of the conversation, not at this point. And that’s where we really need to see a shift in the labor market, which is to Troy points, would likely require an extended downturn.
Jon Morrison: Last one just for me. Can you give a little more color on what underpinned the decisions to adapt to -- plan to adapt to shareholder rights plan?
Mike Heeb: John, it’s Mike Heeb. When we made it, it essentially, what I would say is SOD for most companies. And we’ve been contemplating it for a little while. The timing of it is just around in preparation for our AGM. And it includes all the elements that you would expect from the shareholder rights people. And so, don’t read anything into it. We’re not preparing anything. And we don’t have anything on that horizon in terms of shareholders that are not really good shareholders and shareholders that have been with us for a long time.
Trevor Haynes: I think it’s prudent to ensure that something were to develop, at this part of the market, that we’ve got the ability to ensure that our shareholders receive the value for their investments, that is due to them and it’s just a basic shareholder rights, it’s one of the tools that allows the Board to do their work in that regard.
Operator: Thank you. The next question is from Andrew Bradford from Raymond James. Please go ahead.
Andrew Bradford: When I think the -- just the simple math, 70% utilized on structures in plays that you have something on the order of around, in the high 3,000 beds that aren't be is right now? And how many of those should we think about as being sort of in the latent suppliers that you could be bidding into the market, or even are biddings into the market today?
Troy Cleland: Our total bid log in terms of -- by far the outstanding business currently exceeds that 3,000 beds. However, that bid log concentrated around a few very large projects, so it really comes down to partly your view on what happens with LNG. And then the other comment about the 3,000 beds and just to seize that with number that you provide, is that a percentage of those are in the order format, higher density 49 [indiscernible] which, in this market where there is lower demand and the supply demand balance, those are, and even lower demand, are very little demand. There is still value and that the structures are sound and have many years of life on them. And so it's a matter of being able to reconfigure them economically to address where there is demand in the market. So sort of have two elements of that utilized asset base to consider.
Andrew Bradford: And then also turn this around the different ways, I think it's the high-3,000. I know that some of those beds are going to be in open camp formats or you can't pull them out, you can't just sort of use these to as to bid on new projects. You had indicated earlier in your commentary that you saw the most pricing pressure on new bids with old assets. I'm trying to figure out how many of these beds that are just utilized right now are potentially bid-in as old assets? And then secondarily to that, I'm trying to understand, I think, it’d be helpful to understand a little bit about to what extent they can be -- are they being bid in as they are right now, older assets that are un-refurbished and that's why you see the pricing pressure? Or can they be refurbished or altered in a way based on more higher density to lower density, or even just sort of lipstick put them, to make them more appealing into the market? And in specific, to understand how much you can do with what you have before you start building again?
Troy Cleland: One thing to understand is that there is outbound as well as inbound. We put out in December a reasonable amount of equipment on new projects. We are finding -- there is comparative traction and the full turnkey versus just bed rent head-to-head with competitors. So, there are some tactical approaches. And there is an active market it isn’t that nothing, by way of new opportunities as materialized or come to fruition over the last six months. So we do have visibility of how the market is engaging right now. And those projects that went out in December, the rates, all in or not, that materially different to them, our historical run rates. So, where you do see the most pricing pressure, so you're correct, is on the older format equipment that already exists. And there is an oversupply that is in the market. And so prices one means of getting cash flow against those assets. And we do have competitors who are being very aggressive with that type of asset in the market. So reading through your question, is there a rate reduction around a percentage of that idle fleet, the answer is yes.
Andrew Bradford: Okay, I’m not -- again Troy I know I'm now breaking Tom's two questions a little bit. I'm not too concerned about -- I understand your commentary around demand side. I’m more just interested in, is there anything with the legacy assets that the higher density dorms is there anything that you can do to refurbish them to -- there would be lower cost than bidding in brand new equipment since you’ve a new project?
Troy Cleland: I think we've identified a couple of bids that we went through where the older assets in our current condition we have and bid very aggressively. And then there are some other circumstances where we started going down a different route. And we look at it as making refurbishments are making changes to the assets that would make them more -- I mean essentially what we're doing is trying to get them to a private washroom format. And those costs given where they are, in terms of the current net book value, are still less than what a brand new asset would cost. So, are those rates lower than what we would offer a brand new asset? Yes, but there is still very reasonable payback or return calculations.
Operator: Thank you. The following question is from Jeff Fetterly from Peters & Company. Please go ahead.
Jeff Fetterly: Your comments earlier about, contracts or beds moving from long-term contract to short-term commitments, how many beds does that apply to?
Mike Lambert: Are you saying beds that are moving from long-term contracts to short-term to mid?
Jeff Fetterly: Yes.
Troy Cleland: We don’t have that number for you right now. We can get back to it. But basically it’s -- the part of our installed base, where the customers continuing to operate and we would typically negotiate a longer-term renewal. Notionally, the idea is to maintain the lower price associated with long-term that they would make an additional commitment, and usually it matches how they are looking at the phasing of their projects. So where we’re seeing customers continued to work on their projects, in fact the corridor, for example, and we’d typically be able to offer the longer-term renewals. They are opting for flexibility and asking that they not make as longer commitment as they had in the past on renewal. So, where we have some reasonable amount of comfort, based on the economics of the project and the customer, et cetera, that we opted will stay in place and continue to operate. We’re not getting the comfort of the longer-term contract coverage. And then the answer on how many beds gets down to, we have look at which of these facilities are near, or in their renewal phase or have gone past renewal phase, and are rolling on our typical 90-day notice period, et cetera, we don’t have that. But I would suggest it’s somewhere under 2,000, perhaps down 1,500.
Jeff Fetterly: And those beds are rolling from long-term to short-term. Is there any change to rates?
Troy Cleland: No. In this environment, our discussion with the customer is we will work along with them. Typically, those rates would rise. We point, year-over-year, it looks like a meaningful run-off of the contracted revenue from 203 to 130-ish. If you look from Q3 to Q4, we’ve reduced from 146 to 130. So, that demonstrates there is some replenishment as our monthly run-off is greater than that delta. So the erosion isn’t, at least between Q3 and Q4, isn’t that significant. So it isn’t that we’re not getting contract term or that new projects aren’t being signed and it’s not that every project is not signing renewal, but we are seeing some pressure to allow the flexibility.
Mike Heeb: On a positive note there pipeline and infrastructure clients are quite active and seeking out camps and seeking out long-term agreements, it’s the oil companies project related that are obviously need everyday are moving over the projects.
Jeff Fetterly: How many beds do you expect to rollout of contract in 2015?
Troy Cleland: We don’t have a specific number there for you right now. But if you look at the contract term outstanding, we’re averaging somewhere around nine months right now, or 10 months. So, that would give you an indication on a percentage expiry basis against the camps lead.
Jeff Fetterly: And sorry Tom I am also breaking the rule. Just to clarify from a capital spending standpoint, in the MD&A you said you have $7.4 million in remaining capital commitments. Does that imply as of today that your $43 million or $44 million committed up to $50 million?
Mike Heeb: That’s the math, we were careful to try and show that we have some capital available to invest if the demand is there. We then cut-off all capital and want to make sure that there is such -- there is opportunities to expand a little more and we see demand and I think you’re right Troy talked about demand in the U.S. And so we do have a little powder left to invest if need to be.
Jeff Fetterly: Excluding LNG, the capital committed to-date, when do you expect all of that to be contributing?
Troy Cleland: Based on what we're seeing, leaving aside LNG, we're seeing most of our capital opportunities being through our BOXX Modular platform. So I'd suggest that the remaining amount uncommitted, or where we do have commitments but we’ve not drawn out of these yet but that will come of the spread over the middle two quarters of the year giving the volume commitments that we may make in Q4 with the expenses in the beginning of next year. So, we think, based on what we're seeing right now, leaving aside LNG which we would announce and announced CapEx alongside it, that that remaining capital will be sufficient for the middle two quarters of this year.
Operator: Thank you. Following question is from Dana Benner from Alta Corp Capital, please go ahead.
Dana Benner: Thanks. Good morning. Joined here late and there are bunch of more conference calls starting here, so I’ll try to be quick. So firstly, are you seeing any sale leaseback opportunities in Canada or Australia, from clients who would otherwise walked away not only assets but maybe now are preferring another route?
Trevor Haynes: We've not seen a significant increase in those types of discussions. We do engage in capital leasing with our customers as another product lines who are short-term rental. But the pipeline of opportunities in discussion hasn't materially increased. It could be that it’s just how quickly things have changed. It’s certainly a discussion that we asked our customers that they would like to engage in because we'd be very interested in acquiring assets that they own our right and contract them back to them.
Dana Benner: Secondly, and finally, just I was curious on your assessment of the structural health of the camps business versus the last downturn. When do you think the overall health of the business, with the competitive balance, the way that you think it's good to business as it was? Or has medium returns on the next up cycle be different than they were maybe on the last run-up, what you think?
Trevor Haynes: I can tell you over 25 years it seems like the same business. It's just -- this is something we go through. They have different reasons why we get to this point. But there is a reduction in activity, which leads us to oversupply and in terms of the amount of square footage, or beds in terms of buildings facing the market. So, that's a situation we're in. In '08, '09, a few things occurring in the marketplace allow the industry to maintain its pricing levels. LNG could play that role this time around. The industry in my view has been reasonably disappointed and the returns that they should expect in putting new capital to work, in terms of the risk of owning these assets in this period of time reminds us what that risk is. And that is utilization against our capital asset. So, I’m not too worried there, really takes us back to looking at the oversupply and what types of products and then oversupply position and how the market -- how the industry players act with regard to pricing those assets where there is some demand. And that's very much where we're seeing pressure. Assets already in place and the cost to the customer of taking those out and replacing them sort of give some protection to rate so at least to having a conversation with the customer rather than just being replaced and there is certain asset categories, the private washroom dorms, et cetera, that have more of a balanced supply and demand and there are still opportunities in the marketplace. So, it's a difficult market but it's not dire in my opinion.
Operator: Thank you. The next question is from Greg McLeish from GMP Securities, please go ahead.
Greg McLeish: Just going back on some of the competitive -- or the competitors out there, when you take a look at an opportunity, like LNG and you take a look at your competitors’ balance-sheet, it look a little bit more stressed than yours. Do you think that this gives you better opportunity because of your financial strength and maybe put those guys at a disadvantage?
Trevor Haynes: Well, certainly one of the evaluations that the large projects apply to contractors and all the consignments, including ours, is the financial where we’re all to be able to complete project, some of these are quite large. So we do think that we compare well in that regard. However there is a number of players in the marketplace, a couple have a fairly good financial strength. And then there are few that are weaker at this point based on what their positioning was going into this. So, it is embedded leases alone in the marketplace, I guess is my point.
Greg McLeish: And just looking at your SG&A should we be thinking of any cost savings or synergies -- or cost saving initiatives that you are working through this time to sort of address the current market environment?
Mike Lambert: Greg it’s Mike, and thanks for the question. We actually have undertaken a comprehensive cost initiative, and internally we call it – we’re actually calling a caliber, is the focus on cost. And we’re going to be taking a look at it, our processors and all of our costs and with a view at reducing them. We brought in an expert an external consultant who is an expert at this and we’re actually undertaking to train our internal staff and come up with some cost initiatives to reduce the cost. We’re being very careful not to look at costs that could impair our ability to achieve success on what could be a significant project to the Company. But we’re being very careful just to look at cost that we could eliminate by being more efficient and not cutting muscle.
Greg McLeish: Do this -- was this in involve, do you think any restructure charges for the year?
Mike Lambert: We don’t think so. We’re going to be looking at things like reverse auction, improving our processes, bringing some technology to bare but that will be small capital investment. We’ve already done -- we've already finished Phase I of a Phase III project, which was identification of costs, the second phase is then getting at tactics to coming up with tactics and how to get at those costs and then the third phase is actually delivering the cost savings. We think that the savings will have some quick runs this year in terms of sizing up the dollars, $2 million or $3 million. But in terms of the opportunity, going forward, it’s more significant than that.
Greg McLeish: And just one more question, you had an opportunity in U.S. oil and gas. I am just wondering what you are sort of seeing there, if there has been any material weakness in there? I know, it wasn’t a big piece of the Company. But how are you sourcing that right now?
Trevor Haynes: It was a meaningful part of our CapEx in 2014. We built a well-side accommodation platform in our Dakota and Colorado, we have obviously reduced them or eliminated their spend on additional equipment, but we got a large enough platform that we’ve got a going concern. That Troy touched on -- broadly what those markets are doing for us.
Troy Cleland: In those two marketplaces, we are finding that our product is being received rather favorably. But you can’t 100% eliminate what’s happening in terms of the rig count going down and where these assets are going to. So, the good news is, is that our market share is increasing, but market share, as a percentage, it looks good but in terms of the total number of rigs that might be in that area, it’s not exactly full bragging rates, if you will.
Trevor Haynes: Market shrinking, our share is increasing.
Operator: There are no further questions registered, at this time. I would now like to turn the meeting back over to Mr. Haynes.
Trevor Haynes: Thank you for calling in today and for listening in. Have a good day.
Operator: Thank you. The conference has now ended. Please disconnect your lines, at this time. Thank you for your participation.